Operator: Ladies and gentlemen, thank you for standing by and welcome to the FIS Global, Q4 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] And as a reminder, today’s conference is being recorded. And I would now like to turn the conference over to our host, Mr. Pete Gunnlaugsson. Please go ahead sir.
Peter Gunnlaugsson: Thank you, Brad. Good morning everyone and welcome to our fourth quarter 2014 earnings conference call. Gary Norcross, President and Chief Executive Officer will begin with a summary of our financial performance followed by the operations report. Woody Woodall, Chief Financial Officer, will continue with a detailed financial review. Today's news release and the supplemental slide presentation are available on our website at fisglobal.com. Today’s remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the safe harbor language on slide three of the presentation. Today's remarks will also include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. These non-GAAP measures are outlined on slide four. Reconciliations between the GAAP and the non-GAAP results are provided in the attachments to the press release. With that, I will turn the call over to Gary to discuss the fourth quarter financial highlights on slide six. Gary?
Gary Norcross: Thank you Pete and good morning everyone. Thank you for joining us on today's call. Turning to slide six, 2014 proved to be another very strong year. We drove consistent execution, continued to deliver on our financial commitments to our shareholders and achieved our full year growth outlook. We finished the year with record revenue of $6.4 billion reflecting 6% year-over-year growth. We drove adjusted EBITDA of $1.9 billion and adjusted earnings per share of $3.10, growing our earnings per share by 10% year-over-year. We generated free cash flow of $864 million. In the fourth quarter our results are equally as strong; revenue increased 7%, EBITDA increased 9%, margins expanded 30 basis points and adjusted earnings per share increased 16% over the prior year period. We finished the year on a strong footing with continued sales success across all markets, a robust pipeline and good visibility heading into 2015. Turning to slide seven, consistent with our growth strategy, we are using our significant cash flow to drive value for our clients and our shareholders. First, we continue to invest for growth in our operations that target global financial institutions, as well as strategic solution oriented acquisitions including Clear2Pay, Reliance Trust and CMSI, all of which strengthen our payments well and lending capabilities respectively. Second, we maintained our strong balance sheet ending the year with leverage of 2.6 times debt to EBITDA, which reflects complete deleveraging of our investment and Clear2Pay during the fourth quarter. Our continued financial discipline was recognized by upgrades from both Fitch and Standard & Poor’s during 2014. Third, we continue to deliver strong value to our investors returning $750 million to our shareholders in 2014 through $475 million of stock repurchases and $275 million in dividends. We also recently announced an 8% increase in the quarterly dividend. Overall our strong fourth quarter and full year results demonstrate the continued successful execution of our business strategy and our ability to consistently enhance shareholder returns. Turning now to the markets on slide eight. We continue to capitalize on the increasing market demand for scalable outsourced solutions and transformational services by leveraging our comprehensive suite of end to end technology assets, consulting services and outsource managed delivery capabilities. We saw increased demand in the quarter and year-over-year for our suite of integrated financial solutions. This was especially true in North America where we saw a number of key competitive core baking wins in the quarter and for the full year. For the fourth quarter we signed 14 new core deals and for the year we saw a 54% increase in total new core wins compared to the prior year. Digital channels continue to be a key driver as consumer adoption rates grow, creating strong opportunities for our broad based mobile platforms. These opportunities have translated into strong double-digit revenue growth in our mobile business, supported by our strong performance in new mobile deals last year and a user base approaching $30 million. We continue to be one of the leaders in integrated digital channels and mobile platforms and are delivering key innovations that are chaining the way people bank. As you would expect with the increasing regulatory burdens, our enterprise governance risk and compliance business continues to experience double-digit growth. We see intuitions of all sizes looked at by us to more effectively address the increasing regulatory requirements, enforcement actions and cyber security threats. In fact, last week we hosted over 300 clients in San Diego for our 11th Annual Enterprise Governance, Risk & Compliance Summit. This event brings together key stakeholders from banks and non-banks to federal and state regulatory agencies to discuss emerging risk and explore new best practices for handling these risks. These events are not only information sharing events, but create significant sales opportunities for our teams over the following months. These successes coupled with others within our North American businesses have created strong momentum and pipeline for 2015. Outside North America macro economic trends around the globe continue to cause headwinds in Brazil and some slippage of deals in Europe. Foreign currency exchange rates were a headwind in Q4 and will continue in 2015. However due to our broad geographic business and extensive asset portfolio, we produced strong double-digit growth overall for the year and have confidence in similar double-digit organic growth in 2015. This confidence is due to our success in 2014 delivering several key client wins, as well as continued progress on our large implementation projects. For example, in Q4 Bandhan Financial Services Ltd., India’s largest micro finance institution with over 2,000 locations and 6 million customers will be offering retail baking services to its customers utilizing our core baking capability on an outsourced basis. The proposed Bandhan bank plans to launch between 400 to 600 branch locations beginning in Q2, 2015. In addition Muthoot Financial Partners also delivered another strong growth opportunity in Q4 by selecting us to fully manage its ATM services and switching solutions across India. Finally new startup banks in the U.K. proved to be a solid area of opportunity with FIS signing several startup bank clients in the quarter. To capitalize on the large IP spend and our success in selling to the top global financial institutions, throughout 2014 we added new global client partners, sales and client implementation support teams along with client centered marketing through our operations. As a result of these additions, we are building on our 2014 success and have a strong pipeline for large transformational outsourcing deals and are seeing results as cost containment, regulatory pressures and front to back office transformation projects continue to dominate our clients agendas. Additionally, we have seen significant increase in demand for our Clear2Pay solutions among these institutions. Our integration of Clear2Pay is on track and early sales results are inline with our investment case. We continue to see the benefit of FIS’s global sales force adds to these strategic acquisitions by increasing access to our broad client base. Before I turn it over to Woody for the financial report, I’d like to review the key pillars of our multi year strategy that provide us a strong foundation for success in 2015. Turning to slide nine. The breadth and depth of FIS’s solution portfolio combined with our large sales and global reach enables us to drive change within our organization to deliver on our growth commitments. From this we are able to deliver on our financial commitments to our shareholders, while continuing to drive profitable growth consistently year-over-year. Strengthen our balance sheet by maintaining improving our investment grade ratings and meeting our total debt to EBITDA target. Continue to return cash to our shareholders in the form of share buybacks and quarterly dividends; leverage our scale and cost effectively manage our operations through continuous expense management discipline; and then act on strategic acquisitions in an environment of increasingly rapid and aggressive global competition. This increasingly rapid change is driven by disruptive innovators entrench competitors expanding their services and global players who are to scale with a wider breadth of solution and services is growing an importance to clients. This strategic focus provides us confidence in our ability to drive continued growth and strong financial performance. Woody will now provide details around our Q4 and full year performance. Woody?
Woody Woodall: Thanks Gary. I'll begin on slide 11 with a summary of our consolidated results for the quarter and then for the full year 2014. In the fourth quarter consolidated revenue increased 7% on a reported basis to $1.7 billion. Consolidated revenue increased 5.4% on an organic basis, continuing our trend of accelerating organic revenue growth this year. EBITDA increased 9% to $526 million, with EBITDA margin expanding 30 basis points to 31.1% compared to 30.8% in the prior year period. Non-GAAP adjusted net earnings from continuing operations increased to $249 million from $220 million and adjusted earnings per share increased 16% to $0.87 from $0.75 in the fourth quarter of 2013. For the year revenue increased 6% on a reported basis and 5% on an organic basis to $6.4 billion. Adjusted EBITDA increased 5% to $1.9 billion, EBITDA margin of 30% was 20 basis points lower than the prior year period reflecting our strategic investment in the global financial institutions market, shifting revenue mix and lower termination fees. Adjusted earnings per share rose 10% to $3.10 per share, which is inline with the EPS guidance we provided in the third quarter call. These results include a negative currency impact on EPS of $0.01 for the quarter and $0.02 for the full year. Next, I will continue on slide 12 with a review of segment results. In the fourth quarter Financial Solutions revenue grew 7% on a reported basis and 4% on an organic basis to $645 million. These results were driven primarily by growth and implementations, consulting and services and risk and compliance solutions. Financial Solutions EBITDA for the quarter increased 6% to $253 million; EBITDA margin was 39.2% down from 39.7% in the prior year quarter, primarily reflecting higher consulting and services revenue. For the year Financial Solutions revenue increased 6% on a reported basis and 4% on an organic basis to $2.5 billion from $2.3 billion. This growth was primarily driven by consulting and services, mobile banking and risk and compliance solutions. Full year EBITDA increased 4% to $980 million, EBITDA margin was 39.3% with 70 basis points lower than the prior year period resulting primarily from lower termination fees. Turning to slide 13, in the fourth quarter Payment Solutions revenue increased 5% on a reported basis and 3% on an organic basis to $647 million. This growth reflects increased volumes in network solutions and card production. Payment Solutions EBITDA increased 5% to $275 million in the quarter and the margin increased 10 basis points to 42.5%, driven primarily by transaction volume growth on our processing platforms. For the full year Payment Solutions revenue increased 2% on a reported and organic basis to $2.5 billion. Full year adjusted EBITDA increased 2% to $1.1 billion. Adjusted EBITDA margin decreased 30 basis points, primarily due to lower termination fees compared to the prior year period. Now I’ll cover on our international business on slide 14. In the fourth quarter International Solutions revenue grew 13% on a reported basis and 11% on an organic basis to $398 million. This double digit organic growth was driven by increased implementation revenue and consulting services. International EBITDA increased 7% to $103 million. EBITDA margin was 25.9%, down 140 basis points compared to the prior year due to shift in revenue mix. For the full year International Solutions revenue increased 12% on a reported basis and 11% on an organic basis to $1.4 billion. Full year EBITDA increased 6% to $320 million compared to $303 million in the prior year period. EBITDA margin decreased 140 basis points to 22.5%, reflecting the shift in revenue mix in 2014 and the investment in the global financial institution market. Overall corporate expense in the fourth quarter was $105 million, down from $114 million in the prior year period. For the year corporate expense was down $18 million to $427 million. This decrease is driven by our continued commitment to productivity improvements and cost management. Moving to the reconciliation of GAAP to non-GAAP EPS on slide 15. GAAP earnings totaled $0.71 per share compared to $0.25 per share in the fourth quarter of 2013. GAAP results for the quarter are adjusted to exclude $0.12 for acquisition-related purchase price amortization and $0.04 per share related to acquisition, integration and severance costs. Adjusted cash flow from operations totaled $455 million in the quarter of 2014 and $1.2 billion for the full year. Capital expenditures in the quarter totaled $99 million and $371 million for the year. The $371 million for the year is 6% of 2014 revenue and represents our commitment to continue to invest in our businesses and new products and services. We delivered free cash flow of $357 million for the quarter and $864 million for the full year 2014. These results are consistent with our previous guidance for free cash flow conversion to approximate adjusted net earnings for the full year. Our uses of cash flow during 2014 were consistent with our capital allocation priorities of investing for future growth, maintaining a strong balance sheet and returning cash to shareholders. Moving to slide 16. We returned $750 million to share holders in 2014. This consisted of $275 million in dividend and $475 million in share re-purchases. In 2014 we repurchased 8.7 million shares in the open market at an average cost of about $55 per share. The share re-purchase programs over 2% decreased in our weighted average diluted share account to $288.7 million in 2014 from $294.2 million in 2013. We did not re-purchase any shares in the fourth quarter as we reduced debt related to the Clear2Pay acquisition. Debt outstanding totaled $5.1 billion as of December 31. The weighted average interest rate was 3.1% at year-end. Total debt to EBITDA was 2.6 times which is in line with our target of approximately 2.5 times. On December 18 we announced the amendment of our existing credit facility. We increased our revolver capacity from $2 billion to $3 billion and extended the maturity to 2019 from 2017. Heading in to 2015 we feel very comfortable with the strength of our balance sheet and the flexibility that affords us to continue to invest for growth. Moving on to slide 17, I will discuss our outlook for 2015. For 2015 we expect revenue growth of 5% to 7% on both a reported and organic basis. As stated in our third quarter call, we expect margin expansion to continue in to 2015 and to be in the range of 10 to 30 basis points for the year. We expect 2015 adjusted earnings per share in the range of $3.37 to $3.49 per share, which is a 9% to 13% increase over 2014. Foreign currency exchange rates will continue to be a meaningful headwind in 2015, negatively impacting EPS by approximately $0.06. Excluding the impact of currency our 2015 EPS growth would be 11% to 15%. We expect free cash flow to approximate adjusted net earnings. Finally as Gary noted, we recently increased our dividend by 8% to $0.26 per share. Today we are also providing first quarter 2015 EPS guidance to give color on the calendarization of our 2015 plan. We expect continued negative foreign currency impacts in Q1, 2015. Additionally, while good news for the long term, we are planning for a very little impact in bank consolidation resulting in our lowest level of termination fees in the first quarter over the past three years. Based on these items we expect adjusted EPS to be in the range of $0.67 to $0.72 per share in the first quarter. We are confident that we will again deliver on our full year guidance. This is based on our proven ability to execute and meet our stated financial commitments. Revenue visibility from deals sold in 2014, our sales pipeline and our continued focus on managing our cost structure. That concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: [Operator Instructions]. Our first question today comes from the line of Brett Huff from Stephens Inc. Please go ahead.
Brett Huff - Stephens Inc.: Good morning guys.
Gary Norcross: Hi, good morning Brett.
Brett Huff - Stephens Inc.: On the organic growth Woody and Gary, can you explain just the 5% to 7% range both reported and organics. I think there is some Clear2Pay in there. I think that’s the big organic item. Can you just give us a sense of sort of how you parse that in the 5% to 7% range?
Gary Norcross: Yes, you relay got two things going Brett on the reported growth you’ve got Clear2Pay coming on for three extra quarters in 2015. You also have Reliance Trust coming on for a full half of the year and CMSI coming on for may be an extra quarter. On the opposite side of that you got about two points of FX on the top line that will dilute that reported growth. That’s how you kind of end up with a reported and organic in the same area.
Brett Huff - Stephens Inc.: I see, I got it. So we basically, if we took the mid-point or six we’d add two points to get8x-4x [ph].
Gary Norcross: That’s correct.
Brett Huff - Stephens Inc.: And then we’d subtract, I don’t know other sorts of things about two points in the organic.
Gary Norcross: That’s about right.
Brett Huff - Stephens Inc.: Okay, that’s helpful thank you. And then my only other question was Gary you talked about a couple of things in India. One, I think we knew about the big microfinance with many branches and then I think you announced a new one. Can you just tell us about the new one again? I didn’t quite get that?
Gary Norcross: Yes, now wait – the team continues to execute very well in India Brett. We signed a deal with Muthoot whose going to actually bring over all of their ATM driving all their ATM settlement and it just continuous to build out that ATM franchise. As you know we signed that very large India ATM deal with the public sector banks. That’s going very well, that roll out and we just continue to expand our business there. So it’s just a very nice add on to our existing infrastructure.
Brett Huff - Stephens Inc.: Okay, and then any other – can you talk just a little bit about risk and compliance generally. Woody when we went through the segments I heard risk and compliance mentioned a lot. Are we still in inning two or three of banks spending on risk and compliance. Can we expect to look forward to that for some time to come or we more in inning seven or eight on that and we got to find a new source of revenue?
Gary Norcross: No, I think we are in the early stages. What we are starting to see now Brett is as you know, we want through a series starting all the way back to 2011 where we saw a significant ramp in our OpEx around risk and security. Those investments have now parlayed into some assets that we are now offering out to our customer base. And just like everything we see, we saw the precursor of it being consulting services, so we saw our consulting side of our business grow. We then moved into back office services and now we are seeing it move into some of the product capabilities that we built out over the last several years. So we think we are in the early stages. It’s absolutely the top of mind. I just got back from a large conference a couple of weeks ago and it was literally the number one theme across all of the CEO’s of the largest banks in the world and so we think there is tremendous opportunity here for us to continue to grow the business going forward.
Brett Huff - Stephens Inc.: Okay great. That’s what I needed, I appreciate it.
Gary Norcross: Thank you.
Operator: And we do have a question from the line of David Koning with Baird; please go ahead.
David Koning - Robert W. Baird & Co. : Yes, hi guys nice job.
Gary Norcross: Thanks David.
David Koning - Robert W. Baird & Co.: Yes. I guess my first question is Q1 you talked a little bit about guidance for Q1. It’s the easiest comp of the year in terms of revenue growth. But I’m just wondering, you know is this year going to be a little different. I know you had the big pipeline of deal activity. Do we actually this year even though it’s the easier comps, start a little slower with growth and then as some of that deal momentum builds and you layer it on, that revenue growth actually accelerates through the year?
Gary Norcross: I think it’s really more around timing around some term fees as I tried to mention. Typically we’ve had probably one to one and half points per quarter in the form of term fees Dave. We’ve called that out. It’s been as high as almost two points when we had M&I flowing through back in 2013. We are planning for the lowest level of term fees we’ve seen in three years in 2015, which again very good for the long term because you don’t lose the run rate but it does move some of that lumpiness around. We had over a point in the first quarter of last year in terms of term fees and we are looking at at-least from a planning perspective almost negligible term fees for Q1 of ‘15.
Woody Woodall: Yes Dave, just to add to that, if you think about it term fees are very hard to predict obviously. We don’t know what acquisitions are going on in the market until typically they are announced. Every now and then we get a little advance notice, but if you think about when we came out of the 2008 economic collapse and once the bank stabilized and dealt with all of their loan issues and we saw the closure rate fall off, we now have seen a spike over the last several years of the increase, what I would say, almost pent-up acquisition demand. As Woody said, the good news is we see that trailing off, I mean which is positive for us, because as we talked in the past, even when one of our clients buys one of our plants, one plus one never equals two. So for us based on what we are seeing, based on what our clients are telling us that’s going to continue to trend down. We saw a drop in term fees last year. We think it’s going to be dropped again this year. But as far as the growth of the revenue goes, it always cycles where Q1 is always typically our slowest growth and then it ramps up through the course of the year, just the nature of the business.
David Koning - Robert W. Baird & Co. : Okay, good and then I guess the other thing, margins up year-over-year this quarter, which is nice trend to start again. My guess the way you are kind of talking though this is margins actually might be down year-over-year in Q1 because of the term fee issue, but then should they be up year-over-year in all the other quarters of 2015?
Woody Woodall: Yes, again we were trying to add further color from Q3. We saw some margin expansion and expectations into the fourth quarter and actually executed on that. We did see those come through. We do anticipate margins for the full year to be in the 10 to 30 basis point range. We do believe that margin will come further in the year second, third, fourth quarter.
David Koning - Robert W. Baird & Co. : Okay, and then finally FX, you know you characterized it as a two point headwind. We are usually pretty close. Our model is like 2.8% headwind right now and I know you give a wide enough range on revenues to kind of absorb different moving parts, but I’m just wondering, it just feels a little more like 3% would be kind of the conservative approach, but unless there is a little change in FX make up now with some of the acquisitions. I guess maybe you could just quickly kind of walk through that?
Woody Woodall: Yes, I think the difficulty is exactly what you talk about. If you can give me where you think all the different rates are going to be for the year, I’ll give you exactly what FX is going to be very challenging as you know, particularly in a very dynamic market over the past eight weeks or so in FX, but in that range it could be a little higher Dave, but we think we are in a range, a ballpark its about there.
David Koning - Robert W. Baird & Co. : Yes, I won’t guess that. I’ll stick to my day-to-day job, but thanks, good job.
Gary Norcross: All right, thanks Dave.
Operator: And we do have a question from the line of George Mihalos from Credit Suisse, please go ahead.
Allison Jordan – Credit Suisse: Hi, congrats on the quarter. This is Allison joining in for George. I had a question, if you could possibly provide a breakdown of constant currency growth within international, maybe what you are seeing across Europe and LatAm and if you can give us a sense of the contribution coming from Asia?
Gary Norcross: Yes, Asia Pac has been growing very significantly for us. We typically haven’t been giving individual growth rates in those regions, but I can tell you it’s in the 20% type range. It’s been growing very well. As you know, LatAm, we gave a lower growth profile around LatAm. In fact for the year we saw almost flat Latin American growth and some decline in Brazil and then we saw good bounce back in Europe where we saw you know mid teen growth in Europe. Adding it all together we ended up with that, so I think it was around 11% for the full year in terms of growth. Again, we keep talking about India. You are hearing wins in Asia. It’s not a huge dollar impact yet, but it’s growing very rapidly for us and we believe it will become a more and more important piece of the overall pie. The full geographic breadth I guess is the strength of our international business right now were you can see certain areas growing very fast, other areas that may not be growing as fast, but still giving us good visibility into solid double digit growth for a long horizon there.
Woody Woodall: Yes, I think that’s key Alison. When I think about the business and where the business is growing, you saw Brazil be a huge tailwind for us post 2008, while Europe was struggling to recover. We signaled on many calls that we started seeing our consulting business grow again in Europe, which is great. Then it lead into some significant product wins which we’ve announced on the call. I know Brazil is going through that cycle. Asia frankly has been strong throughout the entire recovery. The team is just doing a great job over there. So for us it’s really that geographic dispersion that allows us to have good strong confidence that we can maintain that double-digit growth rate outside the U.S. in 2015.
Allison Jordan – Credit Suisse: That’s great color, thank you. And then just one more from me, are you seeing any more EMV driven issuance activity and do you expect that to be a meaningful contributor to the top line growth in 2015?
Gary Norcross: Yes, EMV is going to be a tailwind for us in 2015. The sales team’s done a nice job. We are continuing to see more and more activity on that. We’ve announced on several calls some very nice wins of people converting their entire card base. We’ve now got a lot of people who are starting to sign up and they are on kind of a three-year cycle to go through that. So I think your going to see it as a nice tailwind for us for the next several years. You’re also going to see frankly even Mag Stripe and some of the prepaid areas etcetera. It’s going to kind of maintain its kind of steady state. So card production will be a definitely a tailwind for us for the next couple of years.
Woody Woodall: Yes, if you look back to Q4, PSG grew in the 3.5% zone and card production was definitely one of the drivers. If you go back to the prepared remarks you should be able to view that.
Allison Jordan – Credit Suisse: Great, thanks guys. Congrats on the quarter.
Gary Norcross: All right, thank you.
Operator: And we do have a question from the line of Glen Greene from Oppenheimer. Please go ahead.
Glen Greene – Oppenheimer: Good morning. I’ll start with sales activity. Gary it sounded like the commentary overall was good, maybe a little bit mixed. It sounded like there were a few deals that slipped maybe in Europe. On the other hand it sounded like you’ve got a pretty robust sort of transformational outsourcing pipeline. Maybe if you can just give us a little bit more color and if you think this is sort of the breakout here for those big transformational deals. 
Gary Norcross: You know Glen, I think the answer to that is it could be yes. I mean what we’re seeing is frankly we are seeing good signings. We are seeing some bill slippage in Europe which continues to bother us, but I think it’s the kind of the state of the whole European environment, but we still signed a number of – in Q4 we signed a number of startups in the UK for example on product. We continue to see our consulting business grow exponentially in that market, which is always a great sign and we’ve already announced a number of bog transformational outsourcing deals. So I think when I think about the global marketplace, global financial institution marketplace, the pipeline continues to grow and we continue to execute. I wish some of these deals wouldn’t slip from quarter-to-quarter, but that’s just the nature of these areas in the economy. When I turn to the U.S., the U.S. sales team had a great year last year and had good strong consistent growth over the prior year and their pipeline is starting to see good throughput. So all in all I’m very bullish on where the company is, how the sales team is executing and I think that’s why we’ve increased our guidance for growth going into 2015.
Glen Greene – Oppenheimer: Okay, and then for Woody maybe you could help us a little bit in terms of thinking about segment growth and margins directionally. You’ve obviously talked about international continuing in that sort of double digit organic. Should we assume some continued sort of mix pressure on the margins in international and how should we be thinking about sort of the organic growth in financial and payments.
Woody Woodall: Yes, I think in financial and payments your still looking at a similar trend line where we’ve got some of the consulting end services in the U.S. helping to drive our financial group at a little higher growth rate and then our PSG segment similar to what we’ve seen in the past and then sort of a low to mid single digits around the breadth of products with some growing pretty rapidly and some of the more material products not growing and some even declining. So your still seeing that in the low to mid single digit area. I don’t think we are looking at a significant trend on either one of those than we’ve seen in the past.
Glen Greene – Oppenheimer: And same on margins?
Woody Woodall: Probably so. I mean, I think we continue to focus on cost structure where if you looked at the individual components of the fourth quarter, you have FSG driven down by some of the consulting and services, as well as the investment in the global market. You had ISG with the same trends. PSG expanded a little bit of margins and then we got about 30 basis points of consolidated margin because we’re continuing to manage that consolidated corporate cost structure getting leverage out of the balance of the businesses. So I think you’ll continue to see that. I think you’ll see it further in Q2, Q3, Q4 as we continue to grow it out of the balance of the business and manage our overall cost structure.
Gary Norcross: Yes Glen, our overall services businesses just across the entire company continues to grow very well and that’s the testament to the size of our company and the ability to deliver these kind of robust services. So you got that in general, growing double digits, but you also keep in mind you’ve got the Clear2Pay acquisition, which is a very nice product pull through that’s going to be splitting between ISG and PSG. And as Woody pointed out, there’s a number of deep product elements that I even mentioned in my prepared remarks around mobile and some of those things. So it’s going to be a nice dynamic, but we feel comfortable that the margin expansion that we described will come through in 2015.
Glen Greene – Oppenheimer: Just one real quick. The [6N EPS] [ph] from FX, historically from what I recall you had sort of more of a natural hedge and so whenever you saw a revenue headwind you generally didn’t have too much run into your EPS track. Any reason why that’s changed? Has the mix changed or I guess I was surprised at the order of magnitude of the EPS track.
Gary Norcross: Well, I think the point really is around the magnitude of the rate changes and if you looked at the full year our currency impact this year was about $35 million, $37 million on the top line. To follow-up on Dave’s point we’re looking at two points plus on the top line this year, which is a much more significant change in the FX, so therefore we called it out. Again it’s a translation risk. It’s a translation of the P&L. Unless we’re trying to get those euros or Brazilian reals or pounds and trying to repatriate them, it becomes a paper issue more than the economic issue. 
Glen Greene – Oppenheimer: Okay great. Thanks guys.
Operator: And we have a question from the line of Tien-Tsin Huang from JP Morgan, please go ahead.
Tien-Tsin Huang - JP Morgan: Yes, thanks. Good morning. Just on the Europe deals slipping, is that a macro issue or is it perhaps regulation driven with PSG2 going on or what not.
Gary Norcross: No, I don’t think so. I just think as the economy bounces around and the recovery bounces around over there Tien-Tsin, it’s going to deal slide. I mean its nothing that we’re concerned about at all. We’ve had this going on now for well over the last couple of years and so we saw that movement coming out of the recovery in the U.S. where deals were hard to predict when they were enclosed in one quarter and they would slide to another quarter. So I don’t think its anything more than just the course of business. The good news is the team keeps building the pipeline and it just incents our sales team to make sure the pipeline is as robust as possible and as I said Woody mentioned a minute ago, we saw a good recovery in Europe last year, it had good performance from a growth standpoint. So it’s nothing that we’re concerned about.
Woody Woodall: Yes Tien-Tsin, as for the color, I think part of it maybe around Gary and my expectation around the team. We still grew in the 12% zone and we just anticipated more. 
Tien-Tsin Huang - JP Morgan: Yes, so that’s obviously a good rate. So I just as a follow up to that and we’ve been hearing that there could be some higher M&A activity in Europe as well given the regulation, getting close to being finalized. Do you think that’s going to be the case and do you expect to be active?
Gary Norcross: I’ll tell you, I’ll state it this way. We’re seeing an increased level of M&A activity definitely. As we talked about in the past, for us we want to make sure that we’re doing the responsible M&A that returns value to our shareholders and also drives product and service to our clients. So as I said in my prepared remarks, if we can find an opportunity that drives earnings per share always compared to share buybacks as kind of the bar, then we’ll certainly evaluate it. We’ve done a number of acquisitions last year. You’ve seen over the last three years the level of acquisition activity from the dollar amount has increased consistently. I think last year we did about $600 million in acquisitions. So it’s important for us to keep ahead of the innovation curve. It’s important for our clients. We continue to see your demanding a larger portfolio suite from providers like us in order for them to be competitive to deal with the regulatory burden and the security burden and frankly just all the innovations going on. So we’ll always evaluate if there’s an opportunity that makes sense.
Tien-Tsin Huang - JP Morgan: All right Gary, thank you. Then just a quick one for Woody, did you give the bookings growth number or a target that you set for -- or how you came in on 2014 and what’s expected in ’15 related to the booking for new sales.
Woody Woodall: We typically don’t give bookings numbers Tien-Tsin, not now.
Tien-Tsin Huang - JP Morgan: Cool. Thank you so much, so I didn’t miss it. Thank you.
Woody Woodall: Sure thanks.
Gary Norcross: Thanks.
Operator: And we do have a question from the line of Ramsey El-Assal from Jefferies. Please go ahead.
Ramsey El-Assal – Jefferies: Hi guys. I wanted to ask you about, you mentioned that you had strong I think network transaction growth. Could you kind of flush out that comment a little bit, what’s the driver there, what are they referring to?
Gary Norcross: Yes, this is really our nice network and we just had strong transaction driven volumes in the fourth quarter. 
Woody Woodall: Yes, which is all good, the increase in volumes across going forward. We typically see the spike. Its always a big shopping season and so everybody knows and so we were a good recipient of those transactions throughout the quarter. 
Ramsey El-Assal – Jefferies: Anything related to lower fuel price, anything you can read into? A boost in debit spend due to lower fuel or is that tough to call?
Gary Norcross: Yes, I would say that would be tough to call. I’m sure someone on our team could give you that kind of detail, but for us we saw just a nice increase across our networks and it translated to nice revenue and profit growth for us. Was it fuel cost reductions that accelerated that, it would be too hard to call for us at point. 
Ramsey El-Assal – Jefferies: Okay. I wanted to ask you for an updated on your broader check business. Has the rate of decline in that business kind of continued to stabilize firs? I guess second, would you entertain any kind of – are you closer to entertaining any kind of strategic options for that business in terms of potentially divesting it or you know that type of thing. 
Gary Norcross: Well, first the decline of the unit rate of checks continues to be steady, right. We continue to see it in various pockets. The teams done a very nice job as we’ve highlighted over the years, especially in our back office check processing, the team’s done a nice job of selling to financial intuitions to outsource that. So actually the sales team last year was able to fill in that hole and we actually saw our check business on the back office side, it actually had a minor growth, I mean below single digits. On the point of sale offering which is another area that we engage in checks. We are seeing a fairly consistent decline there. The team’s doing a good job of maintaining margins on that business. As far as a strategic look at it, we’ve looked at it several times as you guys might know and frankly at this point in time. We just have never been able to find an offering that would make sense for our shareholders. 
Ramsey El-Assal – Jefferies: Got it. All right thanks a lot guys. 
Operator: Our last question of the day comes from the Line of Ashwin Shirvaikar with Citi. Please go ahead. 
Ashwin Shirvaikar - Citigroup Inc,: Thanks. Hey guys good morning. 
Gary Norcross: Good morning. 
Ashwin Shirvaikar - Citigroup Inc,: So my question is trying to get from the 5% to 7% revenue growth to the 9% to 13% EPS growth. If I assume maybe lets call it 1.5% to 2% of buyback. Is there is the delta there – could you sort of provide some detail with regards to are you going to continue to pay down debt? What’s the operating leverage coming through and where I’m getting to is really you guys have had a couple of good years of really good solid bookings, consulting growth, international growth. Some of these things are at lower margin obviously. But the backend of that lower margin is higher revenue processing type work. So when do we get that is sort of the question. 
Gary Norcross: Yes, you take the top line growth in there, lets use six as the mid point Ashwin. We will get some level of margin expansion in that 10 to 30 basis points, so that give us you a little bit more there. We’ve done a good bit of refinancing activity over the course of the year. We get a little bit of benefit for the first half of this year as you get the annualization of the activities we did in 2014. And then from a default standpoint you are looking at our share buyback to give you those last couple of points if you will to get that 9 to 13 range. So that kind of bridges you between the revenue growth to the 9 to 13. 
Woody Woodall: And keep in mind Ashwin. I know you’ve seen us do this every year. Last year it was over shadowed a little bit with our Global Client Partner Investment. But every year as we work through our plan, we also take cost actions and shift our cost structure around associated where our growth is going to be. So fundamentally that’s just part of our DNA as a company and last year that was over shadowed because we also ramped up a big investment, but you will get some lift out of that as well. 
Ashwin Shirvaikar - Citigroup Inc,: And that part was going to be my next question, the global investment that you had. I think last year was what 50 basis points, 30 basis points, something like that. Does it step down now this year or do you continue at the same level, but that isn’t the year-over-year impact. How should we think of that? 
Gary Norcross: What we talked about was a $30 million investment we did make right at that investment level in 2014. We would anticipate, continue to keep that investment again at this people and go to market resources in those large banks. We would continue to keep that investment at the same level in 2015. Again, long lead times on these deals, so we want to make sure we are getting return, but it takes a while to get that return on the investment as we anticipate, absolutely.
Ashwin Shirvaikar - Citigroup Inc,: And then my last question is, it was good to get the 1Q color, but thinking beyond that, you do have the divesture to GPN and so on and so forth. How should we think of the timing of how revenue growth slows versus margin growths through the year? 
Woody Woodall: Yes, I think you are going to see margin growth through the year as we continue to drive that cost management through there. I think the global deal we anticipate to close early Q2 somewhere in late April timeframe. As we talked about it, it compared to Clear2Pay, the combination of the two we thought would be neutral to EPS in 2015, still thinking that’s the same, so you will see some revenue from global drop-off in the second quarter and continue to see the ramp up of the acquisitions that we’ve made in 2014 flowing into 2015 over the course of the year. 
Ashwin Shirvaikar - Citigroup Inc,: And that’s all in your guidance, right. 
Woody Woodall: Correct. 
Ashwin Shirvaikar - Citigroup Inc,: Okay, great. Thank you guys. Congratulations. 
Gary Norcross: Thanks Ashwin. 
Gary Norcross: Thank you for your questions today and for your continued interest in FIS. We are executing consistently on our commitments. We are driving profitable revenue growth and operating with strong fundamentals. Our proven business model of technology, consulting, and managed service capabilities worldwide with high reoccurring revenue delivering strong cash flow drive stability and predictability. We have a strong foundation for success in 2015 through our multi year strategy. We are excited to share more detail with you around our strategy at our upcoming Investor and Analyst Day meeting scheduled for May 4 in New York. We hope that you would be able to join us for this exciting event. In closing today, I’d like to thank our more than 40,000 employees around the world who are committed to be champions to our clients each and every day. This passion for moving our clients business forward to make them successful has earned us the loyalty of over 14,000 institutions across the globe. Thank you for joining us today. 